Operator: Welcome to the DT Midstream First Quarter 2025 Earnings Call. I will now turn it over to our speaker today, Todd Lohrmann, Director of Investor Relations. Please go ahead.
Todd Lohrmann: Good morning, and welcome, everyone. Before we get started, I would like to remind you to read the Safe Harbor Statement on Page 2 of the presentation, including the reference to forward-looking statements. Our presentation also includes references to non-GAAP financial measures. Please refer to the reconciliations to GAAP contained in the appendix. Joining me this morning are David Slater, President and CEO; and Jeff Jewell, Executive Vice President and CFO. So with that I will go ahead and turn the call over to David.
David Slater: Thanks, Todd, and good morning, everyone, and thank you for joining. During today's call, I'll touch on our financial results, provide an update on the latest commercial activity and construction progress on our growth projects. I'll then close with some commentary on the current market fundamentals before turning it over to Jeff to review our financial performance and outlook. So with that, we are off to a strong start in 2025, giving us confidence in our full year plan. We are reaffirming our 2025 adjusted EBITDA guidance range and our 2026 adjusted EBITDA early outlook range. And we continue to execute on our $2.3 billion organic growth project backlog. Our teams remain focused on integrating our newly acquired interstate pipelines. The key integration activities are progressing on schedule, and we completed full cutover of all financial activities into DTM systems on April 1, and are on track to complete all remaining milestones by year-end. We on-boarded all key employees at close and benefited from the team's expertise with these assets during the winter season, which our pipelines were highly utilized and provided reliable service. As we gain additional insights into these assets and how they operate, we're developing a clearer view of the commercial opportunities they present, including synergies with our existing network, and we feel that the growth and modernization opportunities offered from them are better than our initial assessment. Construction is currently underway on the first of these growth projects, the Midwestern Gas Transmission Power Plant Lateral to serve AES Indiana's Petersburg Generating Station. On the broader construction front, all of our in-flight growth investments remain on track and on budget. And expansions across the gathering footprint will begin to contribute during the second half of the year. As a reminder, we expect these projects to ramp over a period of time and look forward to their contributions as they serve some of the most strategic supply areas in the country. Finally, I'd like to take a moment to address the recent market volatility and its long-term impacts to DTM and the broader natural gas sector fundamentals. The first quarter of '25 was a volatile period for the market, with significant cold weather in January, rebalancing the market in driving natural gas prices up, followed by a decline in pricing as the market tried to understand the impact of tariff announcements. Despite the uncertainty ahead and volatility, DTM, a pure-play natural gas midstream company, is fundamentally well-positioned and our plan remains unchanged. Our contracts have been structured to be durable even in volatile markets with significant demand-based revenues, a customer base that is over 80% investment-grade rated and contract terms that average seven years. In addition, we have no commodity exposure and minimal volume exposure across our portfolio with our Pipeline segment comprising 70% of adjusted EBITDA, serving strong demand pull utility customers anchored by long-term contracts. We expect tariffs will have no material effect on us as we have procured long lead critical components for our projects currently in progress and maintain strong strategic relationships with suppliers, which is why we are confident in reaffirming our '25 and 2026 adjusted EBITDA guidance ranges as well as our CapEx guidance. Looking out over a longer-term time horizon, we remain bullish about the outlook for natural gas infrastructure. Total U.S. natural gas supply and demand are both expected to grow by approximately 19 Bcf per day through 2030, with demand growth primarily driven by LNG exports, data center power generation, utility scale power generation, and industrial onshoring. Our Louisiana assets are very well-positioned to serve this growing LNG demand in the Gulf Coast region. Likewise, data center and utility scale power generation is expected to drive 25% growth in the PJM and MISO power market regions by 2030, and this is where the bulk of our pipeline assets are located. In addition, the long-term positive effects of higher tariffs will result in reshoring of industrial demand, requiring more power and natural gas to serve energy-intensive industries that relocate manufacturing and industrial operations to the United States. Two thirds of the supply increase to meet this demand growth is expected to come from the Haynesville and Appalachia regions where our assets are located, providing opportunities for higher utilization and expansion of our gathering systems to feed our pipelines. Finally, there is growing political and regulatory support emerging for natural gas and energy infrastructure. With the recognition of a national energy emergency and appreciation of the need to streamline the process for getting much needed infrastructure built. So overall, the fundamentals supporting the need for more natural gas infrastructure remain intact, and we are confident in our ability to continue to deliver on our commitments to our customers, suppliers, and investors. I'll now pass it over to Jeff to walk you through our quarterly financials and outlook.
Jeffrey Jewell: Thanks, David, and good morning, everyone. In the first quarter, we delivered adjusted EBITDA of $280 million, representing a $45 million increase from the prior quarter. Our Pipeline segment results were $39 million higher than the fourth quarter 2024, which includes a full quarter contribution from our acquired interstate pipelines. Gathering segment results were $6 million greater than the fourth quarter of 2024, reflecting lower overall expenses in the first quarter of 2025 and the impact of growing volumes in the Haynesville. Operationally, total gathering volumes across the Haynesville averaged 1.67 Bcf per day, an increase from the fourth quarter, driven by new volumes and the return of offline production. In the Northeast, volumes averaged 1.3 Bcf per day, a decrease from the fourth quarter. Driven by timing of producer activity, primarily across our Appalachia and Susquehanna gathering systems, but remain in line with our full year plan. Looking ahead to the second quarter, our plan, which our full year guidance is based on is for adjusted EBITDA to be lower than the first quarter. Driven by seasonality across our interstate pipelines, including JVs, and expected rate step-down on Guardian pipeline, which was settled earlier in 2024, and included in our transaction purchase multiple and typical maintenance activity across our gathering assets. We remain confident in our full year outlook and reaffirm our 2025 adjusted EBITDA guidance range and our 2026 adjusted EBITDA early outlook, reflecting the strong positioning of our assets and the durable nature of our contracting. We've increased our committed capital in 2025 and 2026 to reflect several new projects being executed. With approximately $365 million total committed in 2025 and approximately $100 million committed in 2026. We look forward to our annual rating agency meetings in mid-May, where we will discuss the strength of our credit profile and our commitment to preserving the strength of our balance sheet and achieving an investment-grade credit rating. As a reminder, we are currently investment grade with Fitch ratings and on positive outlook with both Moody's and S&P requiring only one additional agency to upgrade us before fully achieving an investment-grade rating. Finally, today, we also announced that our Board of Directors approved our first quarter dividend of $0.82 per share, unchanged from the prior quarter, and we remain committed to grow the dividend 5% to 7% per year in line with our long-term adjusted EBITDA growth. I'll now pass it back over to David for closing remarks.
David Slater: Thanks, Jeff. So in summary, we remain confident in delivering on our guidance, continuing our track record of strong performance that we've maintained since we spun the company in 2021. Our high-quality pure-play natural gas pipeline asset portfolio is very well-positioned to take advantage of opportunities across our network and execute on our large organic project backlog. And the fundamentals supporting natural gas infrastructure remains stronger than ever, with significant increases in demand coming from LNG exports and the power sector, increased political support behind natural gas and energy infrastructure, and a broader realization of the key role natural gas will need to play as a reliable, cost-effective, and clean fuel to meet our country's growing energy demands. And with that, we can now open up the line for questions.
Operator: And we will now begin the question-and-answer session. [Operator Instructions] And your first question comes from the line of Michael Blum with Wells Fargo. Please go ahead.
Michael Blum: Thanks. Good morning, everybody. Morning, Michael. So I wanted to start on the volumes, the gathering volumes in Q1. So you had a really big uptick in Haynesville and obviously a downtick in Northeast, wanted to get, first of all, just your -- just speak to what's happening there, particularly in the Haynesville. Is this kind of a new run rate? Or is there anything in particular going on there? And then -- how do you see the rest of '25 and beyond playing out in both Northeast and Haynesville?
David Slater: Yes. In Haynesville, which is where you saw the biggest uptick, that's completely in line with our large public producers on what they've communicated and reported to the markets on their activity. I'd say the other activity that's happening, particularly in the Haynesville is the privates are -- have become very active. We have a number of privates on the network. So we're working very closely with them as they seem to have been responding quicker to the price signals and the demand showing up in the area than some of the publics. But yes, we feel very confident in the Haynesville activity, very confident in our guidance for what we expect to see there for the balance of the year, likely continue to see some ramp throughout the year towards year-end. So again, I feel very optimistic about the Haynesville right now. Appalachia, it's playing out exactly as we expected it to play out in our guidance. There's some timing of activity that's kind of embedded in those volume numbers. And I think in our disclosures, we've talked about a number of projects clicking in, in the second half of the year in Appalachia, and that's how you should think about the profile for Appalachia. But in general, very aligned with what we've got in our full year plan.
Michael Blum: Okay. Great. And then I just wanted to ask in the past you've talked about multiple, I think, six or maybe even more potential projects aims at supplying data centers and want to kind of hear the update where that stands today?
David Slater: Yes. That continues to be very active, that file. And yes, there's a large group of proposals on the table with numerous sites across our entire footprint. And that -- and I'm referring to what I'll call behind the meter data center power demand. In addition to that, there's also numerous proposals across our entire footprint on what I would call utility scale power generation. So we're seeing both those sectors very active and advanced commercial conversations in both those categories. It's very active and ongoing. And yes, as we have FID projects, we'll be happy to share that with our investors.
Operator: And your next question comes from the line of Jeremy Tonet with JPMorgan. Please go ahead.
Jeremy Tonet: Hi, good morning. I just want to start off with Millennium here, if I could. It looks like I think there might be an open season for about half a year or so. I'm just wondering if you could provide any color there on the outlook, if that's in the backlog or any other thoughts you could share?
David Slater: Yes. Thanks for bringing that one up, Jeremy. That is literally hot off the press. I think that went public at the end of the week, last week. Yes, I'd say that's a good example of the level of inbound inquiries we're getting right now across all of our pipelines, especially in the upper Midwest and Northeast areas. There's just strong interest in incremental capacity. And Millennium is in a fairly unique position there. They've got some abilities to repurpose existing capacity and to leverage other assets that are in the ground locally that there's synergies between the Millennium Pipeline and those other assets to get deeper into that New York and New England market. I think that market area has come to a realization that they are materially short capacity. And I think what I talked about in my opening statement, just that fundamental backdrop has shifted and changed in a positive way. And I think those utilities and those markets are sort of reassessing their situation. And -- we'll see how the open season goes, but this open season is really to draw in and get a better read from those markets. The nature of the demands that they're -- they need to meet and how Millennium can serve that -- so stay tuned. That's kind of the first step in a larger expansion project. We're seeing similar inbounds across other FERC assets including our newly acquired assets. So again, it just kind of goes to that fundamental backdrop that we're operating in. Just clear demand growth occurring across our footprint. We're in the early stages of assessing how we can respond to that and what type of expansions are acceptable in the market. Another data point to kind of support this early activity. We had peak day send outs on three of our FERC-regulated assets our storage business and two of our new pipelines. And that's just an indication of that demand has grown in this region, and there's constraints emerging. In terms of business in our backlog, no, this is not in our backlog. So this is another good example of what we communicate with investors are projects that are either FID-ed or near FID in the backlog. Projects like this in their earlier days are kind of excluded from the backlog. So the backlog is the gross backlog, the unadjusted backlog is actually growing right now. So again, very optimistic. Our job is we need to commercialize that. And stay tuned as we move these projects along and we'll share the updates with the investors as appropriate. Great question though.
Jeremy Tonet: Got it. And maybe if I could just dig in at a high level a little bit more on some of the comments you said there. I mean clearly, there's a change at the federal level dealing with energy infrastructure and the utilities have a duty to serve their customers. And so we see that alignment. But just curious, I guess, maybe more at the local level or really at the state level. We've seen legal filibuster and other tactics in the past, timely energy infrastructure development. Do you see, I guess, different tone coming out of some of those stakeholders?
David Slater: We do. And I think there's a series of events has occurred over the last 12 months, and I'll rattle off a few that I think are changing the sentiment in the market. I'd say one is a lot of the renewal builds that have been announced. They haven't delivered as advertised. They've either been canceled or they're showing up late for the cost is significantly different than what was originally intended. So that would be one thing that I think is soaking into the market. I'd say, on a reliability perspective, the true impact to reliability on the intermittency of these new generation assets is sinking into the market and being realized. You said it well, Jeremy, the utilities have an obligation to serve. And if there are service challenges in the future, that likely lands -- the public sentiment will be with the utilities and they don't want to be the ones "holding the bag" on that public sentiment. So I think that's shifting the thinking around the executives with a bunch of utilities. Significant growth happening behind the utilities, both gas and power. So these are all just the fundamentals that are, I think, causing sentiment in the market to shift and a realization that we're probably short capacity, we need to shore up the supply side. And I think we're in the early days of that. So -- and I think public sentiment has shifted as well. I think on the other side of the new administration and how the election played out, I think there's just this recognition in the public. The general recognition of the public that, hey, we need this fuel. We need economic fuel and energy. And we have it within the country. This is a domestic supply. So there's just a lot of things that I think have shifted here over the last 12 months that's really moved the pendulum from what I'll call maybe on the far left side to bringing it back to the center where there's an appreciation we need all of the above. And I think that's going to benefit the natural gas, the pipeline sector, and it's also going to benefit the electric sector as well. So...
Jeremy Tonet: Got it. That's very helpful. One last one, if I could sneak in here. Just on LNG demand pull side, we saw the Woodside FID here. I'm just wondering if you could comment on opportunities that might stem from that or anything else we're seeing on LNG commercialization moving forward across the board?
David Slater: Yes, that FID was really positive when I read that the other day. And just to remind everybody, Woodside, part of that FID is the header system that serves that facility. It's about a 3 Bcf a day header system, and it's designed to connect directly into LEAP. So LEAP will be one of the handful of supply points into that header system. So we're really happy and pleased to see that FID. And as we worked hand in glove with the previous owner, we will continue to work hand in glove with Woodside and the new ownership. So -- very pleased to see that FID.
Jeremy Tonet: Got it. Sounds like expansion opportunity there.
Operator: Next question comes from the line of Theresa Chen with Barclays. Please go ahead.
Theresa Chen: Morning David, I'd like to dig in a little bit more on your backlog, specifically related to your comments about potential further expansions that are under development. Can you provide some more color on where things stand with the integrated solution across your Northeast gathering as well as the existing pipeline into Midwest -- newly acquired Midwest assets? Are there any commercial developments to note there? And can we just think about how much CapEx that could be for DTM if you were to bringing that molecule from our gathering system on to Nexus expansion, vector expansion straight to the end user in the Midwest?
David Slater: Yes. Sure. I can provide a bit more color there. Maybe I'm going to pivot. I think we talked about what's happening already on lam. So I'm going to pivot over to the new pipelines that we acquired from ONEOK. So we're in month four. We had a really strong winter. Those assets, like I mentioned earlier, performed really well, really strong demand, had some record high sendouts on those assets. So I'm really pleased fundamentally with how they performed and our assessment of their importance to serve those load centers in the Upper Midwest. We're taking a harder look and we obviously have more information now around the growth opportunities, the modernization opportunities and how they will integrate into the other assets, so particularly storage and vector. And what I'll say at this point is that what we thought when we announced the transaction, based on what we think today, we are more bullish. The opportunity set is more robust than we thought it was when we announced the acquisition. So very positive about that. Obviously, it's our job to commercialize that now. That power plant on Midwestern literally commercializing late last year right around close was a really good early indication of the opportunity set and the speed at which it can move. So as we get more confident in this, we will be providing more clarity and updates to the investors. But at this point, I would just put a green arrow up on the backlog opportunities that are manifesting as we get more confident with them and can clarify them, we'll provide further updates.
Operator: And your next question comes from the line of Spiro Dounis with Citi, please go ahead.
Spiro Dounis: Thanks. Operator. Good morning, team. I wanted to just start with LEAP actually. David, I just want to pull some of your comments together. It sounds like Haynesville activity is kind of ramping back up again. At the same time, Woodside LNG starts to FID again. And I think our working assumption around the next LEAP expansion was that maybe it was years away just given the competing pipelines -- coming online soon. But any sense that, that time line is moving forward? Just want to get your latest thoughts there.
David Slater: Good morning, Spiro. Yes. So our thoughts on LEAP. LEAP -- if you look at how we've expanded that over the last two, three years, it's been in these nice bite-sized adjustable increments. I don't see that changing going forward. I think we're really well-positioned in the market in terms of the service offering that we offer very competitive rates. We are highly interconnected to the supply across the entire footprint of the basin. And we have a lot of delivery and flexibility in terms of the physical deliveries we can make to a myriad of the LNG facilities on the Gulf Coast. So I'd say from a competitive perspective, we're well positioned. You should expect the continued, what I'll call, bite-size expansion opportunities. We're kind of coming out of this period where Haynesville kind of tapped the break over the last 18 months, right? And they're now feels like they're putting their foot back on the gas. So I think we just need to let the clock run here a little bit to see how the basin responds. You alluded to the new projects coming into service that are expected to come in later this year. That will digest into the market and then we'll carry on from there. So nothing has changed in terms of how I think that will play out over time. Clearly, the Woodside FID is a positive catalyst, absolutely. And that's hot off the press. So we're going to digest that. The market is going to digest that and we'll see where that takes us. But I feel good about our position right now.
Spiro Dounis: Got it. Got it. Good to hear. Second question, maybe just a finer point on maybe just the cadence as we think about the rest of the year. Jeff, as you pointed out, 2Q maybe dips down a little bit on seasonality and some other factors, which does seem to imply kind of a pretty strong second half of the year. And so just curious if you guys put maybe a finer point on what the specific drivers are you maybe get you to that midpoint? How much is volume growth versus projects versus other items?
Jeffrey Jewell: Yes, sure. Hello, Spiro. So what we've got -- you're exactly right. The second half of the year, we're planning on being stronger than the first half. And you're right that's driven by volume and a couple of other projects coming online. So you got a couple of those factors. And then the move from the first quarter to the second quarter is one item I mentioned was related to the Guardian. There's a small decline in the rates related to that. That was all contemplated in the acquisition, and that's all built into the guidance that we provided in for the full year piece of the guidance there. So I think those are really the factors to think about as you're thinking about the modeling, it's the second half of the year is stronger than the first half.
David Slater: Spiro, I do want to be clear, though, we haven't changed our guidance for the year. So if we felt we were getting outside of that, we would be updating you on that on the call. And I'll just add to what Jeff said there -- we had a pretty cold winter, right? So we had some really robust seasonality. I'll use that word on our pipeline assets because of the severe winter that we had. We had almost a 30-year normal winter up here in the Midwest, which -- it's been a long, long time since we've had a winter like that. So there's some of that playing through in Q1 as well.
Operator: And your next question comes from the line of John Mackay with Goldman Sachs. Please go ahead.
John Mackay: Hey, good morning. Thanks for the time. I wanted to go back to some of your comments, David, on the privates in the Haynesville. You commented that they're kind of responding quicker to price signals, definitely makes sense for first quarter. I guess I'd be curious to your view though, we've got of bounced back from $4.50 down to about $3 now. Are we seeing them kind of respond quicker in the opposite direction at this point? Or do you think this kind of first quarter strength can follow through, even if prices are a little weaker here in shoulder season?
David Slater: Yes, John, that's a really good question. That's a topic that's at the forefront of my mind right now. We're watching that very closely to see what you just described, if we see any signals of that happening. My high-level sense, John, is that they're fairly quick on the draw, but they also are pretty disciplined about hedging when they see those attractive prices. Privates are typically PE backed and capital recovery is paramount in their minds, right? So if they can drill an edge and turn that capital quickly, that's their business model. So -- we're watching for that. We're not seeing any signals of that at this point. We've seen a little bounce back here on price over the last week or so, but we're definitely watching closely for that. Currently, we don't see any evidence of that.
John Mackay: I appreciate it. That's helpful. Maybe just staying in gathering, we're, I don't know, about a year into the Utica pickup. Maybe if you can kind of just share your latest thoughts there, maybe what that looks like in this kind of softer liquids environment? And maybe anything you can kind of share on just pace of development from here.
David Slater: Sure. Yes. So just to remind everybody, the area of the Utica that we're gathering for EOG, it's really the oil window, which is -- their economics are not NGL dependent. So it's predominantly driven economically by oil. And I would just point you to what they've said publicly about their resource there. They have a massive resource footprint that they've established in that area. It's a virgin area. They've unlocked the rock technically. And the pace of development is consistent with kind of what we have in our guidance for this year and next year. And they're a great counterparty. We're working closely with them and yes, we view that as kind of a long-term growth opportunity inside the Appalachia gathering portfolio. And the nice thing about it is that it feeds one of our pipelines as well. So it feeds an excess pipeline.
Operator: Your next question comes from the line of Keith Stanley with Wolfe Research. Please go ahead.
Keith Stanley: Hi, good morning. First, just wanted to start and clarify Slide 10, the high end of the 2026 CapEx range looks lower than last quarter. Was that intentional or not?
David Slater: Hey, good morning, Keith. No, there is no change to the high end. And if that looks different, we'll check the formatting on the slide, there could be a formatting blip there, but there is no change in the high end of '26 CapEx guidance.
Jeffrey Jewell: And so Keith, from our guidance and what we've guided you get to is we're going to spend our free cash flow on organic growth projects. So that's in your mind that what you assume. And you're right, we'll adjust that slide and make that match up to that guidance. There's been no change in that.
Keith Stanley: Okay. Great. The second one -- second question. So last quarter, you put out a large number of pre-FID projects in the refreshed backlog and you talked to a number of opportunities today too. Are there any projects you'd flag as closer to moving forward based on customer demand and timing from that list? And I guess I'm just curious what's looking most interesting near term or making the most progress?
David Slater: Yes. I'm going to give you a high-level answer to that because I don't want to get too specific just given the discussions that are happening directly with the anchor customers and some of our commitments, contractual commitments with them. But what I'll say generally, and I'm probably going to repeat what I said earlier is there's a green up arrow sitting in that $2.3 billion backlog. A number of things are driving that. Our assessment of the new pipelines we acquired is part of what's driving that. The Millennium open season, which is hot off the press is driving that. I'd say a number of the projects that we've been talking to you about are progressing to FID. So what I'm seeing in that backlog is nothing but kind of fundamental green arrows up. And again, as we get more confident because just to remind everybody, that backlog is not the total opportunity set, it's only the opportunity set that we feel highly confident in executing on and delivering to our investors. So as that gross backlog continues to grow it's going to eventually push into that $2.3 billion, which we talked to the investors about. So I'm feeling really bullish about it, but I don't want to communicate anything until we're highly confident in it. And I'd just say it's consistent with my fundamental assessment earlier on the call that there is just a -- it feels like we have -- we went from a situation a year ago where it felt like we had a headwind that we're constantly bucking to today, it feels like we actually have a tailwind now around the business. And we're working hard to better quantify and assess that tailwind and how that would adjust into our future long-term outlook for the company.
Operator: And your next question comes from the line of Jean Ann Salisbury with Bank of America. Please go ahead.
Jean Salisbury: Hi, good morning. Boardwalk recently announced an open season for the Borealis project, which would source gas very close to your Appalachian footprint. If this project goes forward, do you see DTM as being a material beneficiary?
David Slater: Thanks for the question. Yes, that's a really interesting project because as we look at our new asset footprint, just to remind everybody, Midwestern connects directly to Texas gas at a point called Portland. And there is an existing pathway into Clarington between that asset and one other asset that could potentially avoid a greenfield build or maybe said a different way, there could be some lower cost capacity expansions that could kind of marry into their open season. So we're very aware of that and assessing that. But -- so if there's a benefit to our asset footprint, it would predominantly be as I just described, and that's on the pipeline side, looking over to the gathering side, a project like that leaving Clarington, there is not an incremental couple of Bcf a day of gathering capacity to Clarington. So yes, if a project like that, that size and scale was to FID, I think there would be upstream incremental gathering investments that, that would trigger. And I think we would be one of the a short list of parties that would be a beneficiary or you'll be able to participate in some of that to get more gas to Clarington. That's a great example of what I just talked about on the previous question, just this tailwind that's emerging in the region, so...
Jean Salisbury: Great. That's super helpful. And then as a follow-up, there are concerns that if the China tariffs remain in place, you can see eventual significant pressure on U.S. propane prices, which could reduce kind of the call on the NGL portion of Appalachia. Can you remind us what share of your Appalachia footprint is in the wet versus dry footprint? And do you view that as a risk?
David Slater: Yes. So first off, we don't view that as a risk and very little of our Appalachian gathering footprint gatherers, what I'll call the web side of the Marcellus or the NGL side of the Utica. So the EOG assets is really the oil side of the Utica, not the NGL side of the Utica. And the bulk of our gathering and Appalachia is on the dry side. So we don't have any derivative exposure to the NGL side in Appalachia. What I will say, though, is if that crack spread collapses or shrinks, what we do see is we see ethane rejection and what that means is they put more of the NGLs into the gas stream, which basically grows the gas production in the basin by kind of toggling over to the gas infrastructure versus the NGL infrastructure. And that would be a positive for us because that typically would show up on the egress pipelines, NEXUS, for example. The capability to pivot that in Appalachia is capped by the gas quality specs. So you can only put so much ethane into the stream before you cap out on the quality specs. But that would actually be an opportunity for us versus a risk.
Operator: And your next question comes from the line of Manav Gupta with UBS. Please go ahead.
Manav Gupta: Good morning. There's a lot of macro uncertainty out there. You saw GDP shrinking a little today. Some companies are actually withdrawing guidance. It's very positive that you actually reaffirmed your 2025 guide and '26 guides. So help us understand what gives you the confidence that you can navigate this kind of very tough macro environment and deliver on both '25 and '26 goals?
David Slater: Yes. So I would say the worry in the market is the word, right? That's the worry is that we slide into a recession in the short term. So we've talked already about the long-term fundamentals and how we feel about that. I'd say in the near term, the way we've built the portfolio, it's a highly durable portfolio, and it's intentionally built to protect to the downside. So if I just talk at a very high level, we have no commodity exposure in this portfolio, none. Very minimal volumetric exposure, and that only exists in our Gathering segment, which is only 30% of the business. And on the pipeline segment, which is the bulk of the business, 70% and -- that's predominantly 100% demand-based contracts. So it's highly resilient to short-term economic fluctuations. So that's really the short answer. I think, Jeff, you may want to add from a balance sheet perspective and a durability perspective, how we feel about what I'll call our company itself going through turmoil.
Jeffrey Jewell: Yes, Sure. And just like you're talking about on the commercial side, how we built the company. We've done the same thing on the balance sheet. We don't have any maturities throughout through 2029. We've got over $1 billion worth of liquidity. We're right here on the doorstep of getting upgraded to investment grade here soon. So I mean we have -- and again, you can see where our leverage metrics and those things are. So again, from a balance sheet perspective, same thing between 2025, '26 and beyond, we're in a very healthy position. So we're also not impacted by the broader macro sort of events.
David Slater: And maybe my last proof point on that question. It's an important question. I think it's on the mind of a lot of investors, so I'm glad you're asking it, is when you look at historically look back at other cycles, that economic cycles that we've gone through, we've been able to grow through those cycles. And I'd say that's the other maybe proof point to provide confidence that -- nothing has changed with the management team in terms of how we're running the company. And past performance is only one data point, but I think it's another comforting data point to point to.
Manav Gupta: Perfect. My quick follow-up here is, last year, we were in this power trade where data centers are going to need a lot more power. And then first, DeepSeek came in, then came these all these announcements that Microsoft is pulling back from the data center. You are obviously negotiating with a bunch of customers about their power needs. Has anything actually changed on the ground because of either DeepSeek or Microsoft pulling back the data center spend? Or when you go out there, the underlying demand for power is still growing and very resilient out there?
David Slater: Yes. So let me kind of break that question up into two parts. I'll address the behind-the-meter site-specific power generation opportunities, and then I'll address the utility scale power generation opportunities, because I think there's different fundamentals driving those two different opportunity sets. On the site-specific data centers, we have numerous like many. And I don't want to put a number out there because every time I put a number out there, everybody chases the number. I'm just going to tell you there are a lot of what I'll call mature commercial proposals sitting in front of developers for numerous sites across our entire footprint. A lot of different elements have to come together for a site to commercialize, energy and fuel supply is only one of many elements. And then once all those elements are together and commercially sort of lined up, then ultimately, the host has to commercialize the site. And I'd say that's the phase that we're in right now. We're in a phase where sites have all the elements that they need now. And the final step is commercialization of the site. So that's where we are with a host of opportunities across a myriad of our pipelines. So to the extent that the ultimate host is waiting or making decisions. That's where I think we are today. And I suspect that's true for all the other pipelines as well. Flipping over to the utility scale generation, we announced the West Virginia project. That project is expected to FID next year. They continue to move along and do the things that they need to do to commercialize that site. They're in the PGM interconnect. They have full control of the site now. They've gone through the West Virginia regulatory process. Their air permit is underway. So we see these utility scale sites advancing and continuing. And like I said in my earlier comments, this realization that there's a reliability issue in PJM and emerging in MISO, the demand is robust than they thought. The other generation that they thought was coming in isn't coming in or it's coming in at a different pace. All of those are positive catalysts to drive incremental utility scale generation and I'd say the last thing that we're seeing on the utility side is the utilities, many utilities have been quietly very successful in connecting these data centers directly to the utility grid. And I would point the investors to public announcements made out of Wisconsin by some of the utilities there in Michigan by some of the utilities there. Louisiana, the energy announcements. So the utilities are being -- are getting a fair share of this demand directly connected to utilities. And what that does is it drives utility-scale generation. So instead of site generation, utilities are just rolling it into their portfolio and will add a plant to their future development. So -- that's how I would characterize what's happening on the data center side. I know that was a long answer, but it's very interesting to watch. We're active on both of those two dimensions, the utility scale and on the site specific. And again, I'm highly confident we're going to get our future of that market across our geographic footprint. So I'll stop there. Do we have another question?
Operator: Your next question comes from the line of Robert Mosca with Mizuho. Please go ahead.
Robert Mosca: Hey, thanks everyone. Just one for me. It seems like your major customer in the Haynesville is building productive capacity this year that it could tap into in '26. Just wondering the extent to which that's captured in your preliminary '26 guidance. And if possible, the base case you're assuming there?
David Slater: Yes. So I'll just keep it at a high level, all of our customers provide us insights into their plan -- and for all of our customers, that's reflected in our '25 and '26 guidance. So the short answer is in there. Operator, do we have another question?
Operator: This time, we have no further questions at this time. I would like to turn it back to David Slater for closing remarks.
David Slater: Well, thank you very much, everybody, for your great questions today, and I appreciate the support and look forward to catching up with everybody on the next quarter.
Operator: Thank you, Ladies and gentlemen, this concludes today's conference call. Thank you all for joining. You may now disconnect.